Operator: Good day everyone, and welcome to the Full House Resorts First Quarter 2015 Earnings Call. Today's call is being recorded. At this time, I would like to turn the call over to Lewis Fanger, Chief Financial Officer of Full House Resorts. You may begin.
Lewis Fanger: Thank you. Welcome everyone to the Full House Resorts first quarter 2015 earnings call. We may make forward-looking statements on this call relating to our estimated future results and other market, business, and property trends and information. We undertake no obligation to update or revise any forward-looking statements that are made today. Actual results may differ materially from those projected in any forward-looking statement as a result of certain risks and uncertainties, including, but not limited to those noted in our earnings release, our periodic reports and our other filings with the SEC. And also today during our call, we may make reference to non-GAAP financial measures. For a reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our various Form 8-Ks furnished including those of SEC today. They are also available under the investors section of our corporate website at fullhouseresorts.com. We had a very good quarter but I'll turn it over to Dan to go over all that.
Daniel Lee: Lewis and I always try to have press releases and 10-Qs that are very straightforward and tell you everything you need to know and as you get good at it, there is actually less to talk about in the conference call. But in a nutshell, Silver Slipper did very well. We had indicated in our last call that it was doing well and that’s continuing - that’s doing well so far this quarter as well and I think credit to Lawrence with [John Fugazy] [ph] and his team who have done a great job at introducing marketing initiatives and the things that get our customers going there. So our revenues in the quarter were up 11% and EBITDA was up 26% and that's despite still construction disruption our key surface parking lot has been staging for construction in this hotel. The hotel itself was supposed to be open back in March. We realized about a month ago that the contract we had was just having troubles getting there. And part of it was, he didn’t get the power on time, he start putting stuff inside the building, it didn’t get mold because the air-conditioning was none and had to be replaced and it was kind of a messed up process. Contract is based on Portland, Oregon along the way from Mississippi. And frankly the project manager himself had pneumonia, he was in hospital up in Oregon but the owner of the company was on his way out of the country on vacation. So we reached for our friends from [indiscernible] construction which is a big, very good construction company headquartered in Biloxi based on our team’s supervisors and kicked it in the high gear and we expect that most of it opened from the weekend now and the rest of it shortly thereafter. And we went from having 20 workers a day on the site to having 70 workers a day on the site in a couple of day's time. So, that will it doesn't work for free but fortunately the place was 85% done when we estimate to get involved and so we think the extra cost is going to pretty nominal and that will be in the still in the ballpark of $20 million all included. And frankly let’s be nice. I mean the finishers are nice, the budget reflects kind of Holiday Inn Express hotels, they don't come there expecting ,Biloxi but it’s really a much better than a Holiday Inn Express hotel and I think people will be pleased and enticed directly into the casino first hotel we have had. And definitely it will be positive. And if you look at Silver Slipper, if you look at the traditional seasonality of the property, just take the first quarter versus the year of historical years, the 2.7 million of adjusted EBITDA was pretty much right on track for about $10 million a year which it what property did for quite a few years until it slipped last year down to $7.5 million. So I would like to think that $7.5 million was a bit of a normal and the property really does $10 million or $11 million a year and that's before this hotel and the hotel is definitely a plus, and you can play with the numbers a little bit. But if it ran 50% occupancy with $100 per occupied room of incremental revenue and when I say incremental revenue think of it as gaming revenue or hotel revenue. Either of those is going to have a similar margin if you will. And ignore the food and beverage revenue because like most casinos, the margin are pretty small. So, if you have incremental $100 of revenue, so whether somebody pays $100 for the room and doesn’t gamble, or gets the room for free and then losses $100, we're kind of indifferent. And then if you assume a 50% flow through because this will be incremental revenue, then that hotel would generate incremental 1 million a year of EBITDA and that would be a pretty conservative forecast least by my experience. If you go to the other stream and say, well 85% occupancy which is pretty common in regional markets and $200 a night which is the more, again in my experience in regional markets, then you get to 4 million. We are about 10 miles off the freeway. So, I am not sure I would go to the high end of that one to four range but that's a reasonable range of what this could do. And so going forward I think the Silver Slipper will take a notch up when that hotel opens and then we will carry through 2016 on the year-over-year comparison. So that's the Silver Slipper and we're feeling pretty good about right down there. Rising Star also, has had a downward trend for often long time. Revenues were still off. We have two competitors this year, we did not have in the first quarter of last year which is the Pinnacle property near Cincinnati and the Hollywood property in Dayton, Ohio. We lack those Pinnacle property opened about a year ago now and the Hollywood, Dayton opened in September. And all the licenses in Ohio is now opened and the same is true in Indiana. Kentucky still skews around a little bit with historical raising machines but assuming that does not happen, and there is court hasn’t ruled whether they permitted or not there is a handful functioning. At least it looks like all the capacity that can open is opened with Kentucky being a little bit of round cut, but I think Kentucky is unlikely to happen in my own feel. And so now its matter of what can we do. Now there was a bill in the legislature that, what would have allowed the race tracks near Indianapolis to put in table games, they already have slot machines. We testified against the bill. It was quite a debate during the legislative season, ultimately legislature did kind of a strange thing, where they said that the tracks can get tables but only five years from now, which is were really kind of odd public policy if you think about it, why wouldn't a legislature just said, will take this up in four years or three years, why we are saying now that they can have tables fives years from now. And the tracks lobby assumed to be behind that but leads to me believe that [indiscernible] to sell or some because I can’t think why else they would want it put this five year lead. It puts us in an interesting situation because its like we know that these facts are going to get tables five years from now, so we have some previewing room to try to turn the place around and make some money but its certainly makes a pretty hesitant to make any significant investment. And so that's kind of the status right now. The good news is its not loosing money, it actually made a little bit of money in the quarter and in fact the turn around is better than that looks because in the prior year, they had rather two accounting adjustments. One is that the gaming techs is there, are on a progressive taxation schedule, so the higher your revenue the higher your tax rate. And it's done based on the states fiscal year which ends June 30. So in the second half of 2013, they had assumed a higher tax rate because they thought the revenues will be better and by the time they got to the end of the first calendar quarter which was actually the third fiscal quarter, vis-à-vis gaming taxes, they realized that the revenues were going fall shorter their forecast, its I guess is bad news but the good news is that at lower tax rate that occurring, so there was an adjustment made in the first quarter of last year to a lower tax rate and that was a $500,000 credit. Then there was a something similar with unemployment taxes where there was an accrual for $2,000 unemployment taxes that was no longer necessary, so that was reverse. So there was $700,000 of accounting credits in the prior year that we did not have in this year, this year's number was clean. So we had a clean $200,000 versus a dirty $600,000 last year if you adjusted for those credits last year it actually lost money last year, take money this year. And so we’re pleased that we are up but we got to fix that revenue number. If the revenue keeps declining, eventually its going to bite us. And so we do have a number of marketing programs, we’re looking at implementing there and we’re trying to figure out improvements we can make with very minimal if any gap of investments and try to turn around. But it’s a little bit of cash 22 because knowing that the tracks are going to get tables, one is very hesitant to invest in this, so we're trying to turn it around without making a significant investments and that's where we are with Rising Star. I think but look at least now it’s up, it’s been an awfully long time that this property has had an increase in income, years and years and years actually on a year-over-year basis, so I do on a credit for team for at least having cut cost on an apples-to-apples basis, it’s not down, that’s the EBIT line. Northern Nevada two properties there, the more important of the two is actually the Grand Lodge at Hyatt Tahoe. It actually had a pretty good quarter despite horrible winter, I believe Spa Valley had 19% of its normal snowfall, so the ski season was pretty much a washout and that's the second most important season there, the summer is most important, ski season is second and then you hang on by your finger nails in the spring and fall. And so we actually did okay, despite terrible snowfall and it was actually up a little but that was offset by declines in Fallon. Now in Fallon, we are the leading property in town as I’m saying much, the competition isn’t much but relative to the competition we face, we kind of pretty did up, we changed some carpeting, we painted it, we’ve then improved it but we also changed the management. Last year that property had 80% employee turnover that's problem, and we had some focus groups with customers and part of the feedback from the customers was all the friends we had you fired, so we fired the party. And so we have the new management team, new employee friendly attitude and we’re talking to our customers what they want. For example they told us that there was a shift from a menu where they mistake us where your vegetable and potato were included and we made it at occurring and that is going to everybody off. So they stopped going there, while we introduced the whole menu items and come on back we’ll give you the free potato with the stake. And so we’re and I will say April was much better than the first quarter in that property and so I think that just kind of notching bodes better management at Fallon will cause us to be positive in the second half of the year and the Hyatt Tahoe continues to hold its own, I think Northern Nevada will actually end up with a decent year than the first quarter it was flat. Corporate overhead is about flat with last year, we had a lot of changes here, lot of ins and outs. I think at the end of the day, it will end up being in the $4 million per year area, we’re trying to find ways to reduce it, we’ve eliminated that number of outside consultants the company had whereas inside and so on. But quite a bit of that is just cost associated being a public company and it maybe some of which will be allocated out to the properties but at the end of the day it is what it is. Interest expenses about $1.5 million both years and little bit was capitalized this year because of the construction project total debt stays about the same. There are EBITDA even in this quarter which is seasonally a slow quarter because the summer is the important quarters in Tahoe and Rising Star. So our interest coverage ratio is in the ballpark of 2 to 1, 3 to 1, which is better than most casino companies, so we’re small but we actually have pretty good balance sheet. And the other thing noted in here is that the maturities out there for and so we’ve been taking with our lenders about moving those maturities and some debate whether we just do complete refinancing with new five year debt or do we just extend the maturities in what we have and if we continue to improve operations, we could probably refinance on even better terms a couple of quarters down the road. And so we’re debating which of those two to do, we’ll probably do one of the other, we don’t want our maturities to become current liabilities and so the first lien comes due in June 2016 and so we at least want to get an extension on it. So it doesn’t become a current liability in June balance sheet. Did I miss anything?
Lewis Fanger: No you covered lot.
Daniel Lee: So I'm happy to take any questions, if there is nothing I think when we came in we said we were going to stabilize things and refinance the debt and I think we made a lot of progress at stabilizing things and getting trend in the right direction really property by property we've made changes in each property either that we made or that we’re introducing on the next several weeks. So just trying to fix things operationally and refinance the debt and we’ll figure out where to go from there. Now I'm happy to take any questions.
Operator: [Operator Instructions] We'll take our first question from Jeremy Luskin from Macquarie.
Jeremy Luskin: Hi guys nice work in the quarter. Just a couple of quick questions. First I was hoping maybe give us some insight as to some of the trends and rated in retail play just what you’re seeing visitation in spend. And then second, maybe some color on the tactic you are using in the quarter Silver Slipper and if be to think you will continue to do throughout the rest of the year and beyond. Thank you.
Daniel Lee: Most of our players rated really over properties. We track - we obviously track the both the Silver Slipper of top of my head I recall to 80% to 85% rate of play. Retail was up as well though and they were both up pretty up nicely, I don’t recall the percentage changing much. The main things we did was started to use our food more aggressively as carried if you will and so we reintroduced Dungeness crab, which have been eliminated once for the cost saving measure, I don't know why Dungeness crab is so popular down there but it actually come from [indiscernible] but it's popular, great to hear about the Dungeness crab so our billboard they have the Dungeness crab back. We also offered a discount - pretty steep discounts on the buffet mid-week that brings people out and that certainly helped. Little early to know yet on the city of New Orleans has put in a smoking ban and that took effect in early April and we seem to be doing well, but I don’t know whether that smoking ban has really helped us much or not. I certainly haven't heard to have a big competitor's got a smoking ban when we don't. So it hasn’t hurt, - there wasn’t effect in the first quarter though but maybe affected going forward. Yes, that's mainly that, and reaching out to people with the direct mail and email programs and so on. And we do have some other marketing stuff that [indiscernible] dreamed up since here with but when I can affiliate on the call yet till we introduce it because I’m sure some of our competitors are listening. But part of being in this business was to constantly figure out the next thing the customers want and get it out there before the competitor. So it’s really just down and dirty marketing. Please find out that they certainly like Alaskan king crab like they can expect just offer Alaskan king crab like some stone crabs whatever it is, but - and then there’s other little things like we used to have the - when I got here the players club and the cage has been combined. That meant the person trying to cash out their chips had to stand in line behind the guy trying to get his free baseball cap. And I had never seen that before. We unbound that and in effect are combining the front desk of the hotel with the players club, which makes more sense, because first up you let the guys with the chips, who is trying to cash up don’t make him stand in line so he can go directly to cage not a problem. Second, the hotel is mostly calm, so given those people their free baseball cap when they check-in for the hotel actually is efficient. And so we made some little changes like that and by the way I also think the Gulf Coast in general is doing well. So I think we’ve been helped a little bit by Rising Star. At the Rising Star, lot of it was cost cutting to be honest and we had fewer FT than we did last year at this time and that's how we've kept the decline in revenues from being as receptive to decline and EBITDA. Given idea of admission count over the January Silver Slipper for the quarter, we were up about 9% in just admission count, that's because our - this new hotel that we're so anxious to open up in two weeks - under two weeks. And April trends also being quite good there too. So team is doing a very good job with the secret sauce if you will.
Lewis Fanger: In marketing wise we now have senior citizen days, first responder days, try to figure out something that makes it a special day to come, and they get special for those people and we're doing that at each of the properties.
Jeremy Luskin: Got it, Thanks a lot guys.
Operator: [Operator Instructions] We'll go next to [indiscernible].
Unidentified Analyst: Hi, gentlemen. Thank you very much and congrats on pretty good quarter, the things are stabilizing and all the right pieces are in place. I guess my question is - as you look at the many different levers that you have to create value with this Company from refinancing the debt, to improving marketing or operations, you had talked last call about potentially reading one of the properties river boats idea, overhead reductions, I mean there are so many things that you're working on at the same time. Could you put those into some sort of priority order of what you see, or the real key drivers of value here and how you internally organize those levers, as Management?
Daniel Lee: Frankly we come to work and everything we do is about building shareholder value to be honest. And sometimes it's just as simple as realizing that the construction process is little bit screwed up in reaching out for years to come in and fix it, and other times it's to be finance debt or like our employee health plans, we found we were actually able to improve the health plan with employees and save money like $300,000 a year .
Lewis Fanger: Yes between our various insurance, the property insurance, workers comp, and all those health insurance and everything else, we'll save at least $0.5 million - a lot of that you won't see cycle in until the second half of the year. And then we're finalizing negotiations right now on Silver Slipper's separate property insurance, and that cycle's going to take a haircut to last year's loss.
Daniel Lee: You kind of go property by property and you start by saying, look we do in Fallon, it's ultimately good for shareholder but where do you really move the needle, I don't know. Before we got here there was an effort to try to sell the Company, and there were some people interested and so on. I think if you get things stabilized, the numbers probably get even better if you wanted to sell the Company. Any public company is always for sale if you don't really - or seek and resolve the company, but in terms of shareholder value where do you go, do you read things, - on taxes actually, we got some good tax advice which is going to save us $200,000 a year in state income taxes.
Lewis Fanger: It's probably more than we paid almost $400,000 last year in one of our states and that tax should be zero, this year.
Daniel Lee: Yes. So, there is lot of steps you'll find over time and look, if we do nothing else but get stuff stabilized that where we think it stabilizes and refinance this debt in a five year term, over five years you probably pay off at least half the debt. And so our enterprise value today is roundly $100 million, with $30 million of it equity and $70 million of it debt. If you pay off half the debt, $70 million of debt, and the enterprise value stays the same, then you've doubled the share price in five years. That's just with our existing assets stabilized and paying attention and doing things carefully. Now if you could start to figure out ways to do even better than that, and who knows what that might be, but for example yesterday I said in the Golden Nugget presentation at Wells Fargo conference and they were talking about the Golden Nugget and Lake Charles doing so well and it’s averaging over $20 million a month in revenues. As most of you know that was our hotel [Pinnacle] [ph] Lewis and I and some partners and we sold it to Ameristar at a big profit from our perspective but you listen to Golden Nugget guys you kind of see, wish I didn’t sold it, it is extremely well and - but we spent quite some time but I talked with quite a few of new one getting their financing and at the end of the day, it was pretty expensive and it was – and we were starting from outstanding start and it was like wow, we had to raise the money to maintain a company, doing construction and everything else. And we were just kind of reminiscing or pondering over large how much easier it would have been to done that project within Full House when you have a company and you total company. And had we done that just to put the numbers on the table, I think they spent something like $600 million and it looks like they’re going to cash flow north of $100 million. So they will be - had we done that as part of Full House, we might have created $100 million of additional equity value which is $5 a share, when I started with $1.5. So, I don’t know if we were going to go find another Lake Charles opportunity like that but we do work and we keep watching them, and if we find the right opportunity you try to do it, you got to balance risk versus being rewarded and everything else. In my career, I saw quite few of those opportunities and development of 10 casino so far and not every one of them has been successful. So I’m not promising that will happen first we need to stabilize it and everything else but are we looking to make money, yes we’re looking to make money but -
Unidentified Analyst: That’s very interesting that you segway with that because some folks look at it and say this is a quick fix activist turnaround situation but others like myself say Dan that you have a long history in this business and potentially if you get the ship right here, this could be a platform for you to do other things. And that’s what I’m hearing that you’re essentially saying here that it has the potential to be that platform if you find the right deal.
Daniel Lee: That's true but I’ve actually done both, I mean I created casinos, we got all the entitlements to build the casino unless somebody ask it for good price that we did a risk reward relationship but you know what, we sold the company and somebody calls us up tomorrow and offered us $5 a share, I think we probably take it. But it’s a public company, we got to do it right for the shareholders. On the other hand every company starts somewhere, I mean I was with Steve Wynn when he - for a lot of his career at Mirage Resorts and I think when I joined him in 1992, the stock was $4 a share and then he sold the company at $22 a share 10 years later not even 10 years later and we had increased the size of the company in five fold. So when he got in the Golden Nugget Inc. it was significantly smaller than Full House it is today, right. So every company starts somewhere and will this be a company that 20 years now is trading $30 a share, I don’t know, I'm off because years I guess, I have no idea but you go to work every day and you try to make smart decisions and hopefully over time the stock price reflects it and we go from there.
Unidentified Analyst: Terrific. Thank you so much for the color.
Daniel Lee: Okay.
Operator: [Operator Instructions]
Daniel Lee: Let me just expand one thought on that last question if you were to look at my contract and Lewis's contract they are both public documents. We have a lot of stock options from the company, so if we build this company up in to something over the long term we should do well. But if we sell the company, we also do well. So if we fail to do well by shareholders, then we don't do well. So we're motivated to try to do our best for shareholders and we’ve been added now for four, five months and make a good progress and we’ll continue to do so. Thank you very much everybody, unless do you have another question anybody.
Lewis Fanger: We don’t have Dan, but before we go I may point out a couple of quick modeling things. For those of you that are looking at the income tax line and trying to make sense of that, we did have an operating loss and we did taken expense, its really - I can go with into greater detail over the phone with any of you but the crux of it is the, the fact that we had a valuation against our assets. So if you were trying to project out a tax rate for the full year, what you should assume is the tax rate that we used for the quarter. What we essentially did was exactly that projected out of rate for the full year and then applied to the year today income.
Daniel Lee: Actually that gives me an opportunity, those little bit about a typographical error, here it is says, the pretax loss was not benefited because realization of the net operating loss is considerate uncertain I think what you really mean is the credit against the net operating losses on certain. We did realize and had our operating loss. The point being this the world's for gap accounts, so there is absolutely no bearing on our income taxes that we actually pay around the real valuation to company. But in the prior year there is a credit on the provision for taxes and for - many reasons, we’re not taking that credit now. We had the same situation at Pinnacle, I remember like two quarters later the gap accounts came back is it, oh, you're not making some money so we need to like reversal of this. And I really want your game details, Lewis is going to explain to you otherwise but that's the main reason why our net loss was down on a pretax basis, we were actually, yeah up a little bit over the prior year.
Lewis Fanger: And just to tech onto that to be very clear, we’re not expecting cash taxes to have any actually this year.
Daniel Lee: For next year and I think two years after that, we might have some cash taxes. Quite honestly historically this company overpaid for virtually every casino we owned. The good side of that is we have lots of tech deprecation which is shouldering the stuff and the stock price really reflects that. If it hadn’t over paid for it maybe the stock still be $3 a share but the good news out of that is at least the federal government is giving it some of that back in terms of having to pay taxes. So do you have another point?
Lewis Fanger: The only other point that I had was the adjustment that Dan mentioned for the gaming tracks over in Indiana. We did have a similar adjustment in 3Q of last year that was $612,000. So just FY for your models as you think about the rest of the year but again very pleased with this quarter, the very strong quarter and -
Daniel Lee: The only point out as we start out $600,000 in the whole in the year-over-year comparisons at Rising Star in the third quarter.
Lewis Fanger: That’s right.
Daniel Lee: And that's the main other extraordinary thing we're - in the year-over-year comparison.
Lewis Fanger: Any other questions operator, or are we done.
Operator: At this time there are no further questions in the queue.
Daniel Lee: Great. Well, thank you very much everybody. If anybody wants to ask us questions one-on-one, please don’t hesitate to call, we are here. Thanks.
Operator: This does conclude today's conference. We thank you for your participation.